Simon Pryce: Thanks very much, and good morning, everyone. Welcome to the RS Group Interim Results Call for the 6-month period ending 30th September 2025, and thank you all for joining us this morning. The presentation should take around 30 minutes, and then we'll have some time at the end for questions. But we'll try and make sure that we finish the call by no later than 10:00. I'm going to start by summarizing our pleasing first half performance. Kate will then run through our in-line financials and what's driving them, both at a group and a regional level. Then I'll conclude by sharing with you the good underlying progress that we're making as we make the business better at RS and position ourselves to accelerate growth, improve efficiency, and drive better operating leverage over time. But before we get into the details of this morning's presentation, we'd like to start our meetings, virtual or physical, at RS with a health and safety moment and a values highlight. So although we're virtual, please make sure you do take a safety moment to identify your nearest exit and safest evacuation route in the event of an emergency. For our values highlight, I would just like to call out and celebrate our new multi-year global partnership with SolarAid to support their mission to light up lives across rural Africa. As our new global charity partner, their and our purposes and values are completely aligned that is one team delivering brilliantly, doing the right thing and making every day better. We'll bring our people, our innovation, our technical expertise and our suppliers and partners together to help raise over GBP 1 million to partner with SolarAid to deliver clean, safe solar light and power to over 150,000 people living in rural communities without electricity. This is very much RS demonstrating our values in action and continuing to make amazing happen for a better world. So as you know, we're on a journey to create a better business here at RS, and I am really pleased with the progress that we have made in the first half. Against the background of a challenging geopolitical environment and uncertain markets, our data tells us that we're continuing to outperform. We're delivering financial outcomes that are in line with expectations. We're actively managing our business to reflect the trading environment we find ourselves in, but we're continuing to invest in the strategic and operational initiatives that are already beginning to deliver, which underpins our continued confidence in returning RS Group to growth and through focused investment and effective execution delivering on those medium-term financial targets and much improved value creation that we first talked about at our Capital Markets Day last September. So before Kate takes you through the financials, I think it's worth looking at what's going on in our markets, which remain uncertain, although I have to say a bit more stable. As we shared with you at our Capital Markets Day, high service industrial and MRO distribution markets are large, complex and multifaceted, and they are also generally fragmented as are the competitors who play in them. And it's for this reason that we have highlighted that the best way of thinking about our future direction of travel is to look at PMI data, and that our revenue growth is very closely correlated with trends in PMI data, typically lagged by between 3 and 6 months. And during the first half of the year, this remained true. As you can see from the chart on the left and in the red circle, PMI data, which is the gray bars, have been improving since the low point in our fiscal Q3 last year, but it still does remain below 50, suggesting modest contraction. And markets in the first half were probably a bit slower than we anticipated. But against this backdrop, our revenue, shown by the red line, has stabilized and indeed started to move in the right direction over the last couple of quarters, and we actually returned to marginal growth in Q2. As the chart of the regional PMI data on the right indicates, and as you'll hear from Kate in a minute, this was reflected in good growth in Americas and APAC, broadly offsetting a small decline in EMEA. Now whilst PMI data is a good indicator of the likely future direction of travel, we use other data sources to assess our relative performance, and probably the most relevant of these are web searches and supplier reported channel shares. We monitor Google traffic for relevant search terms, and these were down 6% in the first half versus our own group and indeed digital performance, which was only down 2%. And in the chart on the left, you can see that we've broken it down by product category across EMEA, where we have the most detailed data. And in all 4 of our major product categories, you can see that we are performing significantly better than the market. And on the right-hand side of the chart, on channel shares, supplier data continues to indicate that we're gaining share from other distributors across virtually all of our industrial product categories in Europe, and if anything, this has probably picked up a bit in the first half of this year, which is all indicative of our continued outperformance, which is enabled by our differentiated proposition. So with that market background, let me pass you over to Kate, who will take you through the numbers and the drivers behind them.
Kate Ringrose: Thank you, Simon, and good morning, everyone. I'd like to echo what Simon has said, we've made considerable progress over the last couple of years. And although the market environment remains uncertain, RS Group is in a much better place today. There is plenty of evidence to support this in the first half. In Q2, we moved into growth for the group. We are actively demonstrating strong cost management, managing pricing and cash flow, alongside discipline in investment. Revenue decreased by 3% compared to last year on a reported basis. On a like-for-like, the decline is 1% after excluding impact of the weaker dollar and reduced trading days. EMEA performed relatively well in a weak industrial environment, and performance in the Americas and Asia Pacific was positive, and I will go through the revenue bridge on the next slide. Lower revenue and increased investment drove single-digit reductions in our adjusted profit and earnings measures, despite the benefit of a slightly higher gross margin. And cash flow conversion was very strong at 107%, with continued good working capital management and ROCE stable at 15%. In our unadjusted free cash flow, we also saw a GBP 10 million cash contribution following a successful legal challenge. We are increasing the interim dividend by 2% to 8.7p per share, in line with our progressive dividend policy and our expectation of low single-digit growth until cover grows back to historical levels. There are a few things to highlight on the progress we're making in our growth accelerators at the bottom right corner of this page. As Simon has illustrated, in current market conditions, the digital revenue decrease of 2% is indeed a resilient performance, supported by the investment in web conversion and a 9% growth in our e-procurement solution for higher value customers. This largely offset reduced revenue from typically lower value web-only customers, including the temporary impact of our U.S. digital platform upgrade. This growth in e-procurement was also reflected in a 7% increase in like-for-like service solutions revenue, alongside improved revenue and profit from RS Integrated Supply, following the strategic refocusing of that business under new leadership last year. And RS PRO grew sales by 4% with growth in all of our regions. We continue to develop our product offering and improve the marketing of our range, and RS PRO now accounts for 14% of Group revenues. So let us turn to look at revenue in a bit more detail. As I said, like-for-like revenue fell 1% compared with last year after excluding the impact of FX and working days, and in this chart, we also show the temporary impact on revenue of the U.S. digital platform upgrade. Most of that impact was in the first quarter, with steady recovery through Q2. And adding this back, like-for-like revenue would have been flat in the first half. We also saw a reduced average order frequency and a lower number of customers as demand fell in markets that were in contraction through the period, including some expected customer attrition in Distrelec as customers migrated to the RS proposition. However, this was offset by the benefit of active pricing management, including supplier pricing pass-through, and importantly, the increased revenue from our higher value corporate and managed key customer accounts. These factors resulted in a 3% increase in the average order value in the first half. At a product level, the more resilient categories of facilities and maintenance, mechanical and fluid power, PPE and site safety grew 3%. Automation and control and electrification was down 2%, but do show signs of recovery. Demand for semiconductors continues to be weak, with end markets remaining challenging. Turning to costs and cost management in the half year has been good, and I am really pleased with the discipline evidenced across the group. We have held costs flat half-on-half despite inflation and increased organic OpEx investment and the net impacts of inflation, a favorable FX impact on the weaker dollar, and a GBP 5 million increase in organic OpEx investment was largely offset by restructuring and integration benefits, including those in Distrelec, which was an additional GBP 9 million in the first half. We are on track to comfortably achieve our target of over GBP 15 million of benefits for the full year. Within our ongoing cost base, our efficiency and savings, which have also enabled us to absorb investments in people, capability and the migration of technology spend to the Software-as-a-Service model for solutions partners. This results in an ongoing cost base of GBP 482 million for the half, effectively flat on last year. Minor benefits relates to a GBP 3 million profit on the disposal of part of the Distrelec Nordic business to our existing export partners, and the cost to deliver the restructuring and integration savings in the half was GBP 4 million. Underlying operating margin, excluding the elevated organic investment OpEx, was flat through the effective management of pricing and costs. The net impact of lowering revenue and cost inflation reduced margin by 100 basis points. However, this was offset by restructuring and integration benefits alongside a reduced cost to deliver these. In addition, we have been delivering an increasing OpEx investment spend through the transition period, with the year-on-year increase reducing margin by 40 basis points, shown to the right of the chart. These investments will drive improved margins over time from our strengthened differentiated proposition and improved operating leverage. So moving on to the regions now and starting with EMEA, which delivered a resilient revenue and operating profit performance in weak economic conditions. PMIs were below 50 in our main markets for the period, indicating market contraction, and like-for-like revenue was down 2%, which includes the anticipated Distrelec customer attrition post the closure of the Distrelec DC, which in and of itself saved us over EUR 10 million per year. Now let's drill down by markets. Business confidence remained weak in the U.K., but we relatively outperformed. Our performance in France continued to be strong, and our targeted products and sales offering to more resilient industry verticals were successful, for example, those connected to process manufacturing such as food and beverage. The DACH market remains challenging, with volumes remaining weak in the manufacturing and automotive industry. Gross margin was slightly up with early benefits of pricing coming through. Operating costs increased by less than inflation through active cost management and strong synergy delivery. Largely reflected the reduction in revenue on a like-for-like operating profit was down 11% to GBP 86 million, and most of the increased organic OpEx investment resides in EMEA, which was the main factor in the operating margin decline to 10%. Moving to Americas, which on a like-for-like basis, grew by 1%. On a reported dollar basis, it was down 5%, which is largely a function of a weaker U.S. dollar. You can see the recovery in digital sales since May, which were impacted following the upgrade of our digital platform in Q1. And if we adjust Americas' like-for-like revenue for the temporary impact, H1 revenue would have been up around 5%. Growth rates accelerated through Q2 in the U.S. and Canada against a backdrop of resilient economic sentiment. Markets in Mexico remain more volatile, with persistent concerns over tariffs and their impact on the wider Mexican economy, and this has led to a number of larger customers deferring capital expenditure which was the significant factor in a decrease in like-for-like revenue in Mexico. Gross margin for the region was slightly up, with a strong performance in the U.S. against the tariff backdrop, more than offsetting increased cost of sales in Mexico due to unfavorable dollar to peso movement. Inflation and strategic investment in digital and pricing optimization were reflected in operating costs. And like-for-like operating profit was down 9%. Profit was down in Mexico, which reflected reduced revenue and gross margin. However, profit was slightly up in U.S. and Canada from improved revenue and gross margin. Let's move on to Asia Pacific. We have been seeing positive momentum here since the final quarter of last year, and revenue was up 4% on a like-for-like basis. We delivered growth in Australia and New Zealand, with last year's Trident acquisition performing ahead of expectations. We also delivered growth in Southeast Asia and Japan and Korea. Greater China was impacted by very weak performance in Hong Kong, reflecting significantly lower spend from a few large state-owned customers linked to government budgetary constraints. Gross margin benefited from favorable pricing and lower inventory provisions. And with costs broadly stable, we saw a strong increase in operating profit, reflecting improved operational leverage. All right. Let's move on to cash. This is where our continued focus has delivered strong cash conversion. Our adjusted free cash flow was broadly flat, with our working capital metrics stable. This resulted in cash flow conversion of 107%, well in excess of our target of over 80%, and this was largely a function of disciplined inventory management in response to revenue demand. Stable CapEx of GBP 25 million translated to 1.1x depreciation as we continue to invest in our physical and system infrastructure. And our well-funded pension obligations mean we don't anticipate any further additional company contributions for these schemes. Net debt decreased to GBP 333 million, continuing a downward trend over the last 12 months, and is now equivalent to 1x net-debt-to-EBITDA at the low end of our 1 to 2x range. Our cash-generative business model, strong balance sheet, and debt facility headroom provide us with plenty of capacity for continued investment and selective M&A. And there is no change to our capital allocation policy. Firstly, we prioritize organic investments in order to significantly improve our efficiency and our market position. Secondly, financially disciplined acquisitions in this global fragmented market can accelerate our strategy, especially small bolt-ons. And third, we believe in sharing cash generated with our shareholders through a progressive dividend policy. And if we cannot productively invest excess capital over a reasonable period of time, we will seek to return this to shareholders. Finally, from me, our full year outlook, which is pretty consistent with what we indicated at the start of the year. There are a few points of emphasis for the second half. We now expect our gross margin to be a bit above 43%, so higher than last year. Our organic investment to deliver our strategic initiatives in OpEx is still likely to be at the lower half of the guided range of GBP 35 million to GBP 45 million per annum. And depreciation and employee incentives are expected to be weighted to the second half. We have demonstrated our active cost management in relation to the market environment, and we will continue to do so. There are further guidance points, including trading days and ForEx, and a summary of our restructuring benefits to-date, which are included in Slide 29 of the presentation. I will now hand you back to Simon.
Simon Pryce: Thanks, Kate. And I think you can tell, there is a huge amount going on at RS. But I do recognize that in challenging markets, it is difficult to see this in our financial performance. So over the next few slides, I am going to highlight a number of the areas where I see the changes and the strategic improvement investments that we are making already beginning to deliver. Because it's this that I'm pleased about and it's real evidence of the progress we're making in repositioning RS to drive better growth, improve efficiency, deliver better operating leverage, and much improved sustainable shareholder value over time. So just a quick reminder that we set out our ambitious strategy to improve RS at our Capital MarketS Day just over a year ago, and we continue to execute to that multi-year plan. Our aim is to deliver sustainable outcomes and to be first choice for all of our stakeholders, particularly our customers and suppliers. And we have detailed actions in each of the areas of our strategic wheel set out on this slide. Whilst it's still relatively early in our change journey, in the First half, we executed effectively, and we've set that out in a fair bit of detail in the RNS. But what I'd like to do here is just highlight a few areas where we're making real tangible progress, delivering increased resilience today, improving some of our key underlying operational metrics and supporting accelerated growth that are all early indicators of us beginning to realize some of the exciting RS opportunity. Core to delivering our strategy is, of course, our people, and we have significantly strengthened our leadership over the past 2 years and we continue to do so, while investing in training and upskilling across the group. Our people buy into this strategic journey that we are on with our engagement score well into the mid-70s, despite the challenging markets and the level of change going on within the group today. Our people are doing a fantastic job, and they remain the lifeblood of this business as they embrace and drive change to create greater agility and efficiency. But it's probably in customers where our biggest opportunity lies and where I'm most excited about the progress that we've made over the last 6 months. There is huge potential here through the more effective use of our unique data to target the right type of high potential value customers and to increase our share of wallet with them through delivering a tailored value proposition and a personalized experience, but with an optimized cost to serve. This requires consistent and ultimately connected customer data engagement and management platforms coordinated across the channels globally. We've now reconfigured, cleansed and uploaded and matched over 90% of our customer data across EMEA and APAC, with Americas to follow. And we are already starting to use this data to develop highly targeted and potential-based segmentation models, which will allow us to prioritize customer targeting with both human and digital marketing and to more effectively deploy our sales efforts next year, particularly in EMEA. We've also completed in the first half the development of our customer data platform, which we're now using to develop opportunity-based personalized experiences, both online and offline, to better attract, nurture and gain a larger share of customers' wallet. Our CRM system, which we completed the rollout of last year, has now recorded over 340,000 customer interactions. And to date, this has enabled our sales team to identify more than 50,000 new sales opportunities. And levering this richer data insight, we've seen materially higher win rates and bigger deal sizes, which is part of how we've achieved that 4% growth in revenue from our corporate customer segment in half 1 that Kate referred to earlier. This is all before we ultimately knit it all together and connect it to our enhanced digital commerce engine as we roll that out across the Group, all of which will accelerate customer and wallet capture through enhanced connected data platforms. I'm also pleased with the progress we're making to further strengthen our technical product offer. Our product management solution launched at the end of last year now has allowed us to more than triple our average new product introductions to over 30,000 a month in the first half of this year, and that's resulted in a nearly 30% increase in new product sales and great expansion of our curated product range. And initial Investment in more dynamic pricing has allowed us to process over 3x the normal number of pricing changes that we make in the Americas, which is part of how we've dealt so effectively with the impact of tariffs. But the real opportunity of dynamic pricing and the database margin optimization capability that comes with it is already supporting gross margin expansion in Americas, and we will be rolling this out across the group more widely over the next couple of years. And these investments are just examples of how we're better supporting both suppliers and customers and enhancing the value that we create for them. Kate shared with you a bit earlier the growth that upgrading our e-procurement solution is already delivering, and we continue to invest in our other digital procurement solutions for upgrade next year. Our investment in process and technology, as Kate alluded to, is also repositioning our integrated supply business, RSIS, which delivered strong growth in revenue and much improved profitability in the first half, which is all evidence that our solutions and services focus is driving much improved strategic engagement, and importantly, product pull-through and enhanced value. I'd also like to call out the investments that we've made in the first half to improve our digital experience, which is also contributing to our performance. Our investment in enhanced findability tools have driven a 2% improvement to more than 18% in our Add to Cart rate when a customer searches for product on our website. Our new basket and checkout functionality has resulted in a 5% improvement in basket to order conversion, which is now up to 41%. We've launched an upgraded version of our enhanced digital platform in North America in the first half, as you know, and we continue to tune that platform. Just an example of how much more effective it is, our website load times are now a third quicker compared to the old website. We also continue to tune our delivery promise solution that we launched last year. That's already resulting in fewer cancellations and returns, but is importantly now beginning to yield increasingly granular data, which will allow commercialization of artificial intelligence and machine learning optimized decisions, particularly in the areas of stock availability, inventory management and pricing. Kate's already talked about much of what we have achieved to enhance the efficiency of our physical, digital and process infrastructure across the group, and that is an ongoing initiative. But it's important to realize that we have now delivered sustainable restructuring and integration savings, totaling over GBP 47 million over the last 2 years, and that's more than we anticipated at the outset. We're also now well into the detailed plans that will deliver at least an additional 150 basis points of margin that we referred to as potential upside in our Capital Markets Day over a year ago. But it isn't just about cost reduction. As an example, our delivery to promise investment that I mentioned earlier is also allowing us to do things like optimize product flows through our distribution network. In the first half, we reduced the number of times we handled a product more than once from 52% to 40%, clearly reducing our cost to serve, and importantly, also reducing our carbon footprint. We see lots of opportunity to further optimize this with more data going forward. All of these efforts around improving our infrastructure is driving significant improvement in our future operating leverage. So notwithstanding a decent in-line financial performance despite the challenging, albeit, a bit more stable markets, I hope this presentation has highlighted for you the real reason why I'm pleased with the first half performance. The change in investment we're making is already delivering better revenue resilience and continued outperformance. It's delivering growth in our accelerators and areas of focus, such as our corporate customer segment, RS PRO and our solutions business. It's driving improvements in our gross margin, in part driven by our investments in new pricing technology and capability, and we're also exercising good cost control and improved efficiency. And always more importantly for me, it confirms that RS is uniquely positioned in fragmented markets with attractive through-cycle growth characteristics. We have an increasingly differentiated technical and digital product and service solutions offer, which positions us to continue to drive market share gains. We are improving the efficiency of our global infrastructure, which will drive operating leverage and significant margin expansion over time. And we can deliver value-creative growth through disciplined acquisitions. And although we've not made any in the first half, this was a result of value discipline, not a lack of opportunity, and we have a good pipeline going into the second half. Most importantly, it's further evidence to me that our medium-term financial targets to grow revenues at twice the market with mid-teens adjusted operating margins, over 80% cash conversion and over 20% return on invested capital are more than achievable, and this will all deliver exciting sustainable value creation for all of our stakeholders over time. That's the end of the formal presentation. Thank you for listening. And I'd now like to open the call up to any questions you might have.
Operator: [Operator Instructions] Our first question comes from David Brockton from Deutsche Numis.
David Brockton: Can I ask 3 quick ones, please? Firstly, on the U.S. I guess that's a region where you have a little bit more visibility, or at least historically have done. Can you just touch on what the book-to-bill looks like there? The second question relates to Germany. Clearly, that's still been a tough region for you. Can you maybe give any insight as to whether you're seeing any signs of improvement in that region? And then the final question relates to some of the improvements that you've touched on, the share gains as well, that you clearly set out. The one sort of lagging indicator or indicator that's still off a little bit looks like the net promoter score, which is down year-on-year. Can you maybe just give any insight into what you think is happening there, please?
Simon Pryce: Thanks, David. Yes, U.S. book-to-bill rates stable to slightly positive in North America; in Mexico, stable-ish. I think what we are seeing in Mexico is a continued deferral of some quite big capital projects. So although the book-to-bill rate looks okay, we do see pretty consistent deferral. We haven't seen that capital investment spend loosen up yet, but generally pretty solid. In Germany, yes, it remains difficult. There is the hope that stimulus will eventually feed through both to industrial confidence and to investment. I mean the one thing about Germany is that lapping means the pace of decline is slowing. We have new leadership in Germany, and I'm very confident that we're positioned to recover or to benefit from recovery in Germany when it happens. But no major signs of that happening yet, but equally, Germany is a lot more stable than it was even 6 months ago. Then lastly, the NPS score that you referred to, David. The way we report NPS is on a rolling lagging basis -- 12-month basis. We did anticipate internally a decline in our NPS score, both in Europe and in North America, firstly with the launch of DTP, and secondly with the introduction of our new digital commercial -- commerce engine. I think, pleasingly, the monthly recovery in NPS has actually followed or slightly exceeded, if I am honest, our own expectations. So whilst the externally reported number still looks a bit weak, if you look at the movement that we can see internally month-on-month, we're on a very good trajectory on NPS.
Operator: [Operator Instructions] Our next question comes from Michael Donnelly from Investec.
Michael Donnelly: Just a couple from me, please, and they're both about RS PRO. Now that it's 14% of group, and we've seen great strength in the US, albeit from a low base, should we be thinking about a sustained mid-single-digit growth trajectory for that product in the medium term, or is it more likely to moderate to group growth at some point? And related to that, I think you've mentioned the potential in the past for RS to reach about 1/5 of group revenues. Could you comment on that potential, given the recent performance of the period?
Simon Pryce: Thanks, Michael. So we have seen a good performance for RS PRO in the first half. Given the very low base we're starting from in America, I am not sure that we're celebrating victory there quite yet. There's a lot of work to do to build both recognition and understanding of the RS PRO brand to make sure we've got the right products stocked for our U.S. customer base and are actively selling and promoting the brand in the right way. I do think you should expect RS -- I mean it will be a little choppy, but I do expect, or I do think you should expect to continue to see RS PRO growth outperform the broader group growth over time. And with reference to sort of medium and long-term targets, I'm not sure we've gone out there with a formal position on where our RS PRO brand should get to. But if you look at world-class distributors, I think your comments about between 20% and 25% of revenue being about the right level for a private label products. I don't think we're necessarily disagreeing with that. It takes time to get there, and we're on a journey with RS PRO that's not yet finished.
Operator: We currently have no further questions. And with that, this concludes today's call. We thank everyone for joining, and you may now disconnect your lines.
Simon Pryce: Thanks, everybody.